Ignacio Cuenca Arambarri: [Foreign Language] Good morning, ladies and gentlemen. First of all, we would like to offer a warm welcome to all of you who have joined us today. We are delighted you are able to be with us for the presentation of our 2019 nine months results. The presentation will follow our traditional format. Firstly, we will begin with an overview of the results and the main business highlights provided by our senior management team: our Chairman and CEO, Mr. Ignacio Galán; Mr. Francisco Martínez Córcoles, Business CEO; and finally, the CFO, Mr. José Sainz. Afterwards, we will move into a Q&A session. We'd also like to point out that we are only able to answer questions submitted via our website. So please drive any questions you may have through our web page, www.iberdrola.com. We expect that today's event will not last more than 50 minutes. I hope that this presentation will be informative for all of you. I would now like to give the floor to our Chairman and CEO, Mr. Ignacio Galán. Thank you very much again. Please, Mr. Galán.
Ignacio Galán: Thank you, Ignacio. Good morning, everyone, and thank you very much for joining today to this conference call. Over the first nine months of 2019, the group has strong operational cash flow, alongside with the completion of our asset rotation plan has allowed us to continue anticipating our long-term plans target, both in terms of result and financial strength. As a consequent, net profit reaches EUR 2,517 million up to September, increasing 20.4%. In addition, by making the most of the opportunities offered by the Energy Transition in our market, net investment increased by 30%. EBITDA reached EUR 7.5 billion, up to 11.6%, thanks to the good performance in our business, and despite the impact of extremely low hydro production in Spain. However, it looks that now rain is coming again. In addition, during the third quarter, we completed EUR 3.5 billion as a rotation 2022 plan more than two years in advance. This will enable us to combine additional investment with an improvement in our credit metrics, lining the foundation for further sustainable growth in the years ahead. As a consequence of this set of result, the Board of Directors has approved a 10.6% rise in the interim shareholder remuneration to EUR 0.167 per share. As anticipated in July, over the third quarter, investment had continued accelerating to reach EUR 4,727 million year-to-date. This means that the increase on last year has reached 30% compared with just 0.4% in the first quarter and 25% in the first six month of 2019. Half of the total investment was dedicated to renewable energy, with an increase of more than 80%, mainly driven by onshore wind in United States, new solar and wind developments in Spain and the offshore wind project in UK and United States. An additional 40% correspond to Networks investment, which increases 21%, driven by all countries, notably in United States and Brazil and the remaining 11%, Generation and Supply. This acceleration of investment put us on the right track for installing more than 5.2 gigawatt in 2019, increasing total capacity by 11% on the group year-on-year to reach 50,000 megawatt by the year-end. Half of this 5.2 new gigawatts has already been completed by the end of September. Capacity addition of this includes: The first 400 megawatts of East Anglia ONE offshore wind project in United Kingdom; and the rest 314 will be fully operational in 2020; more than 1,200 megawatts on onshore wind mostly in United States; 400 megawatt of solar photovoltaic in Spain; and 600 megawatt of new hydro in Brazil; 2.6 gigawatt correspond to three new plants in Mexico, increasing renewable capacity in the country; over 10,000 megawatts will represent a 40% increase in the last 14 – 12 months. Two of these plants has been operational in mid of October. As anticipated in our last result presentation, we will be, by far, exceeding our initial target of 13 gigawatt of new capacity by 2022. Details will be provided in our next Capital Markets Day. As I mentioned, EBITDA increased by 11.6% to EUR 7.5 billion. Network's EBITDA rose 8.2%, driven mainly by Brazil, where the increase in distribution tariff approved last August for our company in São Paulo and in April 2018, for our company in Bahía and Rio Grande do Norte. Alongside, with a cost saving and synergies has driven a 29% increase in this period. After the review approved, we have now closed tariff frameworks until 2023, which represents 73% of our total assets and until 2021, for the remaining 24%. As mentioned, the Renewables business was strongly affected by a 46% decrease in Spain hydro production compared with last year. However, the impact of this very low hydro condition was almost fully offset by the additional output from 2 gigawatt of new capacity installed in the last 12 months in United States, Brazil and Mexico. An increase in offshore production of 40% thanks to our German wind farm. As a consequence, the reduction of EBITDA in this business was limited to only 4.5%. In the third quarter, United State wind production was – continued to recover, and now it is already 3% up versus last year. Lastly, operational result in Generation and Supply increased by 37%, driven by the contribution of close 2 gigawatt of new generation capacity installed in Mexico over the last 12 months and a high output in Spain, together with a better performance of our global Retail business. Foreign exchange rates have had a minor positive impact on EBITDA, mostly connected with the revaluation of the dollar, offsetting the negative evolution of the Brazilian real. Over the last quarter, we have continued improving efficiency. As a consequence, net operating expenses increased by 2.1%, while gross margin rose by 6.6%. I can't believe the ratio of net operating expenses to gross margin improved by 120 basis points year-on-year to 26.1%, reaching already our target for 2022. In terms of asset rotation, during this quarter, we have completed transaction, well more than EUR 2 billion, mainly through the sale of 40% minority stake in our East Anglia ONE offshore wind project in United Kingdom for around EUR 1.7 billion. They will be reinvested in forward expansion. And the restatement of the long-term rights of our Spanish optical fiber networks for EUR 0.3 billion. This transaction, together with other announcement in the first half, reached total amount of EUR 3.5 billion. In other words, we have been able to achieve our efficiency in that asset rotation plan for 2022, marking three years in advance. And we have put in operation, in only two years, almost 7,000 megawatt. We represent more than 50% of our five years plan. The strong cash flow generation combined with the asset rotation is allowing us to improve our credit metrics. Net debt EBITDA improved by 40 basis points to 3.5 times, and FFO-to-net debt ratio increased to 22.2%, up 120 basis points. This acceleration allow us to face the coming years with increasing optimism. We will give you more details in our next Capital Markets Day will be expect to be held in May, as mentioned before. Finally, let me highlight the some recent regulatory update in the Network business. In Spain, the implementation of new regulatory framework for distribution continues advancing. The Spanish independent regulators, CNMC, already said the rate written applicable for electricity network for the period 2025. At the 5.58%, in line with previous estimates, and according to the information published today. Some improvement will be implemented in the cap of investment in the amount dedicated to the utilization. Meanwhile in Brazil, the new work proposal is currently under consultation. This new cost of capital, which is in the first ESF proposal, will not be applicable to our distribution companies until the next tariff reviews. Therefore, as I mentioned, the current work will continue for us up to 2023 for 76% of our distribution assets, and until then or 2021, for the remaining 24%. In United States, the New York and Maine rate cases currently are under discussion and will be applicable for 2020. Settlement negotiations are underway now. We'll continue to update you on this development in the coming months. And now I will hand over the CFO, who will present the group financial result in more detail. Thank you.
José Sainz: Thank you, Chairman. Good morning to everybody. As Chairman has pointed out, nine month results reinforces the strong growth of the group during 2019 with EBITDA up at 11.6% and the net profit grown by 20%. FX evolution has been as follows: dollar rises against the euro by 6.2%; the pound is flat; and the real has depreciated 1.8%. New account – new accounting treatment for operating leases in place from January 2019 reduces net operating expenses by EUR 49 million, increases depreciation by EUR 47 million, has a EUR 9 million negative impact in our financial expenses and rises debt by EUR 399 million. Revenues increased 0.7% to EUR 26.5 billion and procurements decreased 3.9% to EUR 14.4 billion. As a consequence, gross margin rose by 6.6% to EUR 12.1 billion. FX evolution added at this level, EUR 193 million. Excluding FX, gross margin grew up by 5%. Net operating expenses were up 2.1% to EUR 3.1 billion, 4.5 percentage points below the gross margin growth, highlighting even low loss efficiency improvements. Net operating expenses included EUR 55 million of negative FX impact. Excluding this, operating expenses almost remained flat. Levies fell by 6.2% to EUR 1.4 billion, positively impacted by a EUR 156 million decrease in Spanish taxes on generation due to a lower hydro production and the suspension of the 7% generation tax in Q1 now in place, again, from April onwards. This has been partially compensated by FX rise and also the increase in taxes in other areas. Analyzing the results of the different businesses and starting by Networks, its EBITDA was up 8.2% to over EUR 3.9 billion, accounting for 53% of total EBITDA, driven by Brazil, the UK and the U.S. As you can see in the slide: Spain contributed 32%; the U.S., 27%; Brazil, 23%; and the UK, 18%. In Spain, EBITDA fell 1.3% to EUR 1.3 billion, recovering from the 6.4% fall in June as the third quarter accounted EUR 49 million positive impact linked to the transfer of the optical fiber contracts, almost compensating the one-off accounted for in the second quarter of 2018 for EUR 53 million. In the U.S., IFRS EBITDA was up 1.9% to USD 1.2 billion due to growth in the rate plans and the recovery of a strong cost from previous years, in addition to lower expenses this year due to fewer stores. All of these positive impacts have been partially offset by tariff reductions corresponding to a tax reform in effect under the IFRS from the Q3 2018. With neutral impact on net income level as this effect is offset by the lower corporate tax. In Brazil, EBITDA grew 31% to BRL 919 million, driven by the tariff revision in 57% of our rate base, Coelba and Cosern in April 2018 and another 19% Elektro from August 2019 as well as 3.8% higher demand and cost contention due to efficiency plans. As the Chairman has mentioned, all these tariffs will remain until 2023. Finally, in the UK, EBITDA was up 5.9% to GBP 626 million with higher revenues both in transmission and distribution as a consequence of the growing asset base due to investments. Renewables EBITDA fell 4.5% to EUR 1.7 billion as wind production partially compensated lower hydro output. Global production for wind is at the end of the third quarter, higher than last year and continues to increase as more capacity comes into operation and wind conditions improve. In Spain, EBITDA was EUR 515 million, 26% below last year. As a consequence to the 46% lower hydro, partially compensated by stable wind production and lower taxes in hydro, as explained previously. In the U.S., EBITDA fell 11.4%, $468 million, both improved in the third quarter due to a increase – slight increase in output, lower prices and PPA expiration. In the UK, EBITDA was 13% up to GBP 301 million, with better prices and wind production increase. That includes East Anglia One offshore wind farm first contribution more than compensated lower hydro output following the asset sale. In Brazil, EBITDA decreased 7.4% to BRL 446 million with lower wind and hydro output, partially compensated by the new 350 megawatts hydro capacity in operation. In Mexico, EBITDA was up 42% to $63 million, thanks to a 53% higher output linked to 270 megawatts additional solar PV capacity installed. Finally, in other international areas, mainly in Europe, EBITDA grew 53% to EUR 247 million due to the German offshore contribution now fully operational. Generation and Supply EBITDA grew 37% to EUR 1.8 billion, driven by Spain and Mexico. In Spain, the EBITDA was up by 72% to EUR 1,175 million, thanks to a 22% higher production, mainly coming from gas and nuclear, as you can see on this slide that covers the low hydro, thus increasing revenues. In addition, we continue to have a good performance of our supply business and EUR 89 million of a one-off positive impact linked to the LNG contract sale. In Mexico, EBITDA grew 30% to USD 640 million, thanks to higher sales as a consequence of production increase linked to the 1 gigawatt of new installed capacity with full contribution in 2019. In the UK, EBITDA decreased 78% to GBP 37 million, affected by an average 15% lower margin due to the cap and an 8% and 10% decrease, both in gas and electricity sales, together with the disposal of our generation business at the end of 2019. Brazil added BRL 200 million to EBITDA. Nevertheless, the supply business was affected by a negative one-off of around BRL 80 million in Q1. And in the international area, in IEI, EBITDA was EUR 14 million negative, improving but still affected by initial development cost of our supply business. EBIT grew 17% to EUR 4.5 billion, thanks to the 11.6% EBITDA growth and a more moderate 3.3% rate in depreciation and amortization as a consequence of higher activity and IFRS 16 impact, partially compensated by the lower nuclear depreciation. Net financial expenses reached EUR 891 million, EUR 27 million more than previous year due to the EUR 1.5 billion higher average net debt and the IFRS 16 impact, partially compensated by EUR 4 million linked to the lower cost of debt that improved to 3.41%, and EUR 6 million improvement in non debt related financial expenses. Our credit metrics improved, as the Chairman has pointed out. Net debt-to-EBITDA was 3.5x versus 3.9x last year, thanks to our strong operating results and debt reduction of EUR 1.3 billion linked to the 40% East of Anglia One investment at the end of August. FFO over net debt was up 1 point to 22.2%. Retained cash flow over net debt reached 21% and leverage ratio was 43.2%, better than the 44%, one year ago. As you can see in the slide, those solid credit metrics were achieved, limiting the debt increase to EUR 1.1 billion, thanks to our asset rotation while continuing financing our strong investment plan. Iberdrola Group remains the world's leading private group in green financing by volume of green bonds issued and outstanding. We consider green bonds as the most preferred asset class for investors in debt capital markets due to the Use of Proceeds focus, strict reporting and external verification. Our current asset base and our investment plan focused in key assets for the energy transition and efficiency, allows the group to continue taking advantage of the green bond market. During 2019, we issued EUR 2.5 billion of green financing, totaling EUR 11 billion outstanding. Reported net profit grew by 20.4% to EUR 2.5 billion. After accounting in Q3, EUR 124 million of the fiber optic transaction. Net profit, excluding this impact of the mentioned fiber optic transaction and gas contract, grew 12%. The effective tax rate was 24% versus 22% last year. In the Annex, you will find the scrip dividend calendar. Thank you very much.
Ignacio Galán: So to conclude the results we are presenting today, evidence, once again, the benefits of our model. A model which has been implemented for the last two decades, and that today is more valued than ever. Based on the opportunities arising from the transition to clean energy, a process in which we are positioned as a clear front runners, we are accelerating our investment in networks, renewables and storage. Our efficiency and asset rotation plans are also ahead of our initial plans. In fact, we have already reached our targets for 2022 in both items. This provide additional headroom for new investment, creating a virtuous cycle that we expect to continue accelerating. And as consequence, increasing future results of the company. Due to these trends, we are reaffirming our double-digit net profit growth outlook for 2019. Let me stress, as we have already done in the past, the performance in the last month of the year be better than currently anticipated. We will study possible measures to further increase of the resiliency of the company in the future. So taking all these into account, the Board of Directors has approved a 10.6% rise in interim shareholder remuneration to settle EUR 0.167 per share. They will be payable in January 2020. As usual, a supplementary dividend will be paid in July 2020. So thank you very much for your attention now, and we will be ready to answer any questions you may have.
A - Ignacio Cuenca Arambarri: Okay. Let's start with the Q&A session. The first questions comes from Manuel Palomo, Exane; and Alberto Gandolfi, Goldman Sachs; Arthur Sitbon, Morgan Stanley; and are related to the figures presented about the consensus 2019. For fiscal year 2019 guidance, looks EBIT too cautious in light of the strong 9-month results. Are you expecting any specific negative one-off in the Q4 to slow down the growth path in the first nine months? And additional to that, consensus expects around 11% net income growth in 2019? Do you think it sits in the right place?
Ignacio Galán: So we are not expecting that. In fact, last year, we had already shown extraordinary situations that we had already, and this year is going not to be already repeated. We, for instance, we have not – last year, we have no taxes on our generation in Spain, 7% taxes. We have already shown extra increases of recovery of tariff in Mexico. We were affecting as well to our accounts. Saying that, as I mentioned, in case, we will have already better performance than what we are planning. In that case, we will take the necessary action for reinforcing our solidity that we have already had – already in the past.
Ignacio Cuenca Arambarri: The next questions comes from Javier Suarez, Mediobanca; and Emil Mamedov, the Bloomberg – from Bloomberg, sorry. Spain – it's about Spain Networks regulation. Any news for possible improvement versus previous draft, what is, say, our opinion?
Ignacio Galán: Well, I have already mentioned. So I think we have not more official information than that one which is already published. The information we got is that the WACC will continue to be maintained at the level of 5.58%. And they have shown positive news related, the cap of investment. We also already make in the past. It looks then they would like to remove that. There is a good news because I think we would like to electrify the economy for achieving the targets of emission that the government has already fixed and committed with Brazil, will require much more investment, which I think that is a positive thing. And the second one is the grid require much more investment digitalization that is saying that it's going to be as well contemplated included in the plans of investment, which will be already be part of the RAB in the future. So that is the news that we got. We have not more information on that one. But all the news we are getting in this moment are going in the positive direction.
Ignacio Cuenca Arambarri: Next question comes from Alberto Gandolfi, Goldman Sachs and it's related to the opportunity that we are seeing in Spain to develop solar on a midterm basis. How many gigawatts could you do per year? And what EBITDA contribution might you expect? Question number four.
Ignacio Galán: Well, as you know in Spain we have already something like 30 million, 40 million contracts in the country. So the thing is – and in this particular moment, there are already quite a lot of people, which is ready to invest in the country. So there are such people which are already ready to invest in the country. We – and they are already customers, which are ready to buy the synergies. So I think we feel that the best thing is to lead the market to the world. So I think those ones they would like to invest, is welcome, and they had to look for customers as we are looking for customers. So I think we have already customers, and we are seeing any new customers and those who want to invest they have to look for T1. So we don't see that it is going to be an intervention of the government making any kind of option in similar, because there are already people ready to invest. There are already people – they are already people ready to buy. So I think lead the market works, and I think it will not require any kind of government intervention for making the things happen. I think the situation will be the opposite. Then no one will be ready to invest and the country requires such an investment. In that case, the government has to already to do the necessary for securing then the investment and required for the country will be done, but now it's not the case. The people which is ready to invest is very many. The people, which is already at this moment presenting project is a cute number. Even it's doubling the needs of the country. So let's the market works. Well, but in any case, I think, as we have already been announcing, I think we are already leading this one. I think our plan is very clear. So I think we are – as I was announcing, our good performance, and our experience and our capability – financial capabilities and our knowledge of the market and our knowledge of the territories, making ourselves to accelerate heavily. Our plans will remain in the country, which we will provide you very much more details in our Investor Day in May. But I think it's – that is one – clearly one of the drivers of our future growth of investment.
Ignacio Cuenca Arambarri: And Mr. Galán, I'm afraid that we have to repeat the answer corresponding to question number three related to the Spain Network because we have had a problem with the microphone. So you can – if you don't mind, and I would repeat the question and you can repeat the answer. It's related to Spain networks made by Javier Suarez and Emil Mamedov, Bloomberg, related to the current situation of the network's regulatory framework in Spain.
Ignacio Galán: So as I tried to say before, so our – the information we have in this moment is that one, which has been already, which is public. We have no more information on that one. Through this information, what we know is that the WACC is going to be underlying expected on the 5.58%. The second thing is that the news what we have already in this moment, which have been published, is then the investment cup, which was already established in the previous government. So it's going to – they are already planning to make all this disappear because the needs of the country or investment in the country in the way they would like to achieve. The electrification target for achieving the targets of the carbonization, so a low require much more investment in this area. So the another one as well is related to digitalization, agreed with a situation with much more distributed energy, require much more digitalization of the grid. And this is same as this investment will be as well recognizing side of the RAB. So I think that will provide more room for more investment as well in this area. So those are the two positive things. So more investment will be required because of this electrification and the cup of investment is going to disappear. And the second one, the digitalization effort will be recognized as part of the RAB.
Ignacio Cuenca Arambarri: Next question is related to something that appeared yesterday in the market and has concentrated a lot of interest from Javier Suarez; Mediobanca and Stefano Bezzato, Crédit Suisse; Martin Young, Investec; Arthur Sitbon, Morgan Stanley among others. And it's related to the comments made by Orsted on announcement bringing down profitability. Do you see any risk on your wind load factor assumption?
Ignacio Galán: So let me be a bit – not so biased. So I think, I will say those are already things related to the learning curve. I think we suffered these sort of things 20 years ago. I think we have already learned through this period, and the design – theoretical design tools have to be continually being modified. I think when you make already a design of the project in certain manner, so certain of the wind is not performing as you are expecting and the effect on the blades, et cetera, et cetera. So you learn from the process that you have to adapt in a continuous basis. Your design tools for adapting to the experience accumulated. We, in this moment, more than 15,000 turbines in operation worldwide. And that indeed is – and we've been already during this period already passing through this learning curve. I'm sure that our colleagues when they have such a number of turbines that we have, they will learn as well, how to modify the tool – design tools for avoiding than this problem that turbulence cannot really affect to the performance. So I think that is clearly part of the learning curve. We have already suffered in the past, but I think 20 years ago.
Ignacio Cuenca Arambarri: Next questions comes from Javier Suarez, Mediobanca and Meike Becker from Bernstein. And it's related to an update on the situation on Vineyard Wind Park.
Ignacio Galán: So well, as far as I know, I think that today, I think, our colleagues from AVANGRID will already give you more details. But I think that has already – there are a few – we are the pioneers in this area. So as pioneers, so I think when we are passing through the different permits, very many of those has already passed-through. And they are one which is affected to the seabed and the fishing condition, et cetera, with Department of – corresponding department in the federal authorities. They would like to make a deep study, not only in our case, in the case of everybody. How they can affect to the different people, what we are already planning to make this thing. So I think, it's a technical thing, which I think they are now underway that will make already that ourselves and the rest of another one probably will be forced to redesign certain of our layout of the wind farms to make already the things according with the achievement, then the authorities are already making through all these things. And since it's a technical thing, which when you are pioneer, so I think we have already been the first affected, but it is something which everybody will be already affected in the sense that we've clarified forever, what is going to be the rules for implementing those things. So our plan is to continue with this wind farm. I think it will be already, probably in operation in the 2022 or early 2023. So our plans continue on the same basis. But I think that is something, a technical thing, which when you are already been pioneered. So you are the first who has been affected, but everybody has already descending. And that is going to help the clarification for the further new investment we are going to make in the country and other one as well.
Ignacio Cuenca Arambarri: Next question comes from James Brand, Deutsche Bank, and it's related to the proposed change in WACC in Brazil. And whether we think that could be improved from the initial proposals?
Ignacio Galán: So I had already mentioned, I think this WACC is almost 80 or 90 basis points less than this one we have now. But I think it's, as I mentioned already, it's not affecting to our – to almost 80% of our distribution companies has already the actual WACC is going to remain up to 2023. So the effect is going to be, if any, after 2023. But as I mentioned, it's the first step of negotiation. I think the last year, when we have already done one with another WACC as well. We were negotiating. And finally, we keep already the level that we have at today. So – but in any case, whatever it should be the result, I think it's going not to have any effect in our remuneration of our – 80% of our assets up to 2023 and to 20% of our assets up to 2021 at the end of 2021.
Ignacio Cuenca Arambarri: Next question comes from Fernando Lafuente, Alantra; Harry Wyburd, Bank of America Merrill Lynch; and Martin Young, Investec. You have reached your 2018-2022 asset rotation goal two years in advance. You previously expected to get to below 3.1 time net debt-to-EBITDA by 2022. And the question is, do you now expect to reach this goal earlier? And the current expectation we have about net debt-to-EBITDA in 2019 and 2020?
Ignacio Galán: No. What I was saying is that we've already achieved those – we have already achieved these number in this moment. But I think we have already very ambitious and very detailed acceleration investment plan for the next few years, then we will update you on the 2020 – on the May next year. So that means that we've already done what was already planned. We have already now more resources for investments and asset rotation. But as well, we are already, at this moment, accelerating our investment to make already to benefit of the opportunities, the narration transactions and the new rate cases will provide to ourselves. So all those one makes to ourselves, then we will already accelerating those one and the ratios we have today probably is going to be modified, but we will update all those in – more in detail in May. But I think our drive in this moment is not the ratios that we're driving, this moment is the acceleration. And this is the word acceleration of our plans of organic investment either in Renewables, Networks, et cetera, et cetera. And one, we have already achieved our rotation plan. And one, we have already achieve our efficiency plans.
Ignacio Cuenca Arambarri: Next question comes from Meike Becker from Bernstein and its related to the expected development of net financial expenses, considering our – the current low interest environment.
José Sainz: As the Chairman has explained, we are going to increase our investment plan, as he has explained we see a lot of opportunities right now. I want to add that all these ratios that you have seen in previous plans were a consequence of the investment that we've had, and now this is going to be modified by new investments. So it is difficult to say today what is going to be the exact number. What we can say is that in our projections, we see at least EUR 100 million or plus lower financial expenses that we saw in previous plans.
Ignacio Galán: We have an additional thing related to the debt that is coming from Antonella Bianchessi, Citi and usually it is expected the net debt figure at the end of this year.
José Sainz: It will be around EUR 36.5 billion, around more or less, depends a little bit on the FX, et cetera. But in this quarter, we will continue to invest. So it will raise from the current levels.
Ignacio Cuenca Arambarri: We have a question received from Alberto Gandolfi, Goldman Sachs; Stefano Bezzato, Crédit Suisse; Harry Wyburd from Bank of America Merrill Lynch; Fernando Lafuente, Alantra; Martin Young, Investec and finally, Meike Becker from Bernstein. And it's related to the news about M&A that has appeared recently in some media places. Question Number 10.
Ignacio Galán: So United States is our – one of our core geographies, as you know. We already have AVANGRID. AVANGRID is a big company with presence in 25 states, serving more than 3 million, 4 million customers. And I think we have already 60, 70 Renewables project in operations, so 7,800 megawatt already in operation. Our plan is to grow in this country. I think we have already clear program of investment, which amounts more than EUR 11 billion in the period of 2019 to 2022 that we are, in this moment, delivering. This year, we are already going to put in operation 1,000 megawatts. We are, in this moment, negotiating the rate cases of Maine and New York, which are more investment in those than we were making before. We have already some project transmission in hands, et cetera, et cetera. In this position, the United States is a big player, we have a very prudent relation with almost 100 utilities in the country, which is, in certain cases, are already our counterparts in PPA. We are selling energy to them. In another case, we are already taking the – using the transmission services. So in some cases, they are our customers. In some cases, we are their client. So I think we have a close relation with everybody. And I think, as I mentioned several times, if any opportunity rise, we will analyze it as we always has already done. And we will already consider if there are any opportunity. If they fits or is not fits in our business and financial strategy and operational study. So I think that is what I can say. I think we are in the country. We are in the country. It's a strategic country for us. It's a country where we have dedicated in a lot of resources, in terms of organic investment. It's a country in which we always said that we have already, as a company listed, which we have already made something in the past that we measure with another one, is the result of measuring different things. And I think that is what the situation. And we have already close relation with almost 100 utilities, which are our suppliers or they are our customers. And that is I think what I can say. If there are any opportunity arise, we will look at it as we have always done.
Ignacio Cuenca Arambarri: Last question comes from Harry Wyburd from Bank of America Merrill Lynch, and it's related with the situation of the UK electricity distribution. According to the press, you looked at the electricity northwest earlier this year. Does this signal that you are hoping to increase your exposure to the UK Networks?
Ignacio Galán: So I think, as I mentioned, we are as well – Britain is another strategic country for us. We are already – we have an important presence in distribution and transmission. And I think if there are opportunities, we will look at those opportunities. If they are already fitting our strategic direction, and this already providing the return we are expecting. If the price of the condition we done been already requested as a superior develop, we are ready to pay. We will not already make that one. As far as this one in particular, I think we were already looking at that one. But I think we were not already taking any action on that one. Somebody else pay more in that – the people take that much. So I think we continue with our – a very discipline strategy in terms of whatever acquisition. So we are not here for growing, we are here for improving our results in the short, medium and long term. And I think that has been our strategy that is going to continue in our strategy.
Ignacio Cuenca Arambarri: Okay, with this last answer, all the questions we have received in 10 minutes ahead of schedule. For any additional questions, you already know that you have the Investor Relations department to assist you at any time. Now please let me now give the floor to Mr. Galán to conclude this event.
Ignacio Galán: So thank you very much for attending this conference call. You see we continue, as I mentioned, accelerating our plans, and we are optimistic about our future. So we will have opportunity to share with you our results in February, and we will share with you our long-term plans again in the Investor Day in May. So thank you very much for your attention. Thank you.